Operator: Good morning, and welcome to TETRA Technologies Fourth Quarter and Full Year 2020 Results Conference Call. The speakers for today's call are, Mr. Brady M. Murphy, Chief Executive Officer; and Mr. Elijio Serrano, Chief Financial Officer. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Serrano. Please go ahead.
Elijio Serrano: Thank you, Kate. Good morning, and thank you for joining TETRA's fourth quarter and full year 2020 results call. I'd like to remind you that this conference call may contain statements that are, or may be deemed to be forward-looking. These statements are based on certain assumptions and analysis made by TETRA and are based on a number of factors. These statements are subject to a number of risks and uncertainties, many of which are beyond the control of the company. You are cautioned that such statements are not guarantees of future performance, and that actual results may differ materially from those projected in the forward-looking statements. In addition in the course of the call, we may refer to EBITDA, gross margins, adjusted EBITDA, adjusted EBITDA gross margins, adjusted free cash flow, leverage ratio or other non-GAAP financial measures. Please refer to yesterday's press release or to our public website for reconciliation of non-GAAP financial measures to the nearest GAAP measures. These reconciliations are not a substitute for financial information prepared in accordance with GAAP and should be considered within the context of our complete financial results for the period. In addition to our press release announcement that went out yesterday and is posted on our website, we'll be filing our 10-K in the coming days. With that, let me turn it over to Brady.
Brady M. Murphy: Thank you, Elijio. Good morning everyone, and welcome to the TETRA Technologies fourth quarter and full year 2020 earnings call. I will summarize some highlights for the quarter and current outlook and then turn it over to Elijio to provide information on our financial reporting without CSI Compressco, operating and SG&A costs, cash flow and the balance sheet. Let me start again by thanking all the TETRA employees and the management team for delivering another strong quarter and a very good year relative to the very challenging energy services market this past year. For the year of 2020, despite the energy macro environment, we delivered positive adjusted EBITDA and free cash flow in every quarter. Fourth quarter adjusted free cash flow from continuing operations of $16 million is the seventh consecutive quarter that we have delivered positive free cash flow with a total of $73 million generated over those seven quarters. This was accomplished through exceptional cost management by reducing total costs, as measured by adjusted EBITDA, more than our revenue decline of 33% and increasing our adjusted EBITDA margin for the year, over last year by 150 basis points. This was accomplished with a macro backdrop of a year-on-year US onshore rig count decline of 55% and an active frac crew decline of 56%. While delivering these results, we were also able to successfully execute our key strategies, including the deconsolidation of CSI Compressco, positioning the company for a recovering oil and gas market and meaningful participation in low-carbon energy markets. Our focus on innovation and differentiated offerings in each of our business segments, along with our vertically integrated chemicals and completion fluids model has proven again to be resilient in the most challenging of downturns. The value of our balanced revenue and cash contribution from US unconventionals; global offshore including deepwater; international; and industrial chemicals markets has been highlighted in a year like 2020, but just as importantly positions us to participate in all segments as the market recovers. Revenue for the fourth quarter was up slightly sequentially with strong revenue growth in the US, offset somewhat by lower international activity. Fourth quarter adjusted EBITDA before discontinued operations was $11 million, which was an improvement of 49% sequentially, with adjusted EBITDA margins improving 460 basis points. TETRA generated $16 million of adjusted free cash flow from continuing operations in the quarter and ended the quarter with $67 million of cash and liquidity of $92 million. For the full year 2020, we generated $60 million of cash from continued operations, an improvement of $81 million from last year. Water and flowback saw sequential revenue growth of 46% in the fourth quarter compared to the modest 7% quarter-on-quarter frac crew increase. Our strategies on produced water and treatment, sand management, automation and integrated water management are on track, and clearly contributed to our ability to stay adjusted EBITDA positive in every quarter of 2020 and deliver a 12% adjusted EBITDA margin in the fourth quarter on a frac crew count that was still one-third of the 2018 peak. Adjusted EBITDA of $3.7 million increased $3.6 million sequentially. We added 14 new customers in the Permian in the fourth quarter and two new produced water recycling contracts with a leading E&P operator in the Permian Basin, which will increase our water recycling capacity by another 100,000 barrels of water per day. We are currently partnering with six leading E&P companies in the Permian Basin to provide full-cycle produced water recycling solutions. Based on our tracking of working frac crews, we believe that we are currently the oilfield service market leader for water transfer and water treatment in the Permian Basin. In the fourth quarter, we averaged 26 integrated water management projects, with 18 different customers. And as we start 2021, we were above that run rate. Our BlueLinx Automated Control System is a key enabler for these integrated projects to deliver the efficiency and financial benefits of automation. We continue to deploy our TETRA SandStorm Advanced Cyclone Technology to new customers and regions. As we mentioned in the last evening's press release, TETRA has secured our first project outside the United States, in Argentina, for a fully automated sand recovery project. Based on customer demand, high utilization of these assets and market share gains for our highly effective sand filtration technology, we are investing additional capital to increase our fleet by approximately 40% in 2021. Completion Fluids & Products adjusted EBITDA margins of 32.6% for the quarter included a benefit from our Standard Lithium agreement. Completion Fluids & Products fourth quarter adjusted EBITDA margin of 32.6% increased 580 basis points sequentially and was a record high for this segment without the benefit of a TETRA CS Neptune project. The fourth quarter adjusted EBITDA margin was also 730 basis points better than a year ago, excluding the benefits of CS Neptune. Revenue for the fourth quarter decreased 15% sequentially, primarily due to a large international completion fluids sale in the third quarter that did not repeat in the fourth quarter. With WTI crude oil prices averaging $36 between the start of the global pandemic in March of 2020, through the end of December 31, 2020, offshore rig count activity has declined throughout the year and ended down about 37% from the start of the year. Deepwater projects, including those where we are engaged with customers for CS Neptune were delayed and pushed from their original planned dates. We believe that the offshore market will bottom in the first half of 2021 and start a meaningful recovery in the second half of 2021 and into 2022. Through discussions with our customers this includes several of the CS Neptune projects, which are now getting replanned. We're optimistic several CS Neptune wells will be scheduled and executed this year. Our industrial chemicals business continues to perform well and made up approximately 40% of the revenue for this segment and for 2021, we expect this business to remain strong as we're expecting strong seasonal sales in the U.S., East Coast and Europe. Revenue of our calcium chloride Europe business in 2020 was a record high for us, demonstrating the value of this business in even the most challenging of economic uncertainty. The recent Arctic-like weather conditions that we experienced in the Southwestern part of the U.S. resulted in a period of frac and completion activity being significantly curtailed. This impact may be somewhat offset from the cold weather, which will benefit our industrial chemicals business. We're working on quantifying the impact of these two, but have not yet fully quantified the net impact for the quarter. On January 19th, we issued a press release highlighting strategic initiatives for low-carbon energy solutions and appointed a senior executive to focus on these opportunities. We mentioned the 3.9 million tons of estimated bromine reserves -- resources, I'm sorry, and 890,000 tons of inferred lithium resources, for which we have partnered with Standard Lithium to recover and sell lithium from our Arkansas leases. In 2020, our P&L saw the benefit of $3.1 million from this agreement. And until the lithium is extracted from our leases, we're receiving cash and equity compensation from Standard Lithium. On the energy storage side, we are currently engaged with three different companies who are in the process of qualifying our high-purity zinc-bromide for application on battery energy storage. A Wood Mackenzie September 2020 report states that energy storage is still a nascent market, a relatively new investment class with underlying risks but also projects the energy storage market to grow at a 10-year 31% compound annual growth rate over the next decade and grow from 25 gigawatt hours deployed storage in 2020 to over 700 gigawatt hours by 2030, representing a $60 billion market by the year 2030. Zinc bromide flow battery show great promise for meeting the portion of this market that requires slow charge and discharge between four and 12 hours such as wind and solar farms compared to lithium-ion batteries, which have four to six typical discharge times. Given the specifications of our high purity zinc bromide and our technical exchanges with flow battery OEMs, we are highly confident we will qualify our products and advance to commercial arrangements. And finally we mentioned the recent advancement in carbon capture technology that uses calcium chloride. We are currently in discussions to put in place a memorandum of understanding with a company that owns patents around this solution. These are very exciting opportunities for TETRA and we will continue to keep you updated as they evolve. Since January 5th, we've announced both the beginning and the results of numerous strategic actions initiated by management and our Board aimed at; one, simplifying TETRA and our business lines; two, increasing operating efficiencies; three, reducing costs at all levels; and four, shoring up our balance sheet. We've made meaningful progress on all of these areas. The successful execution of our key strategies in 2020 has strengthened each of our business segments and positioned the company to capitalize on a recovering oil and gas market and continue to grow and strengthen our industrial chemicals business. Furthermore, we remain committed to the important ESG initiatives that I mentioned earlier including the use of our products and technology in battery storage applications, carbon capture and our partnership with Standard Lithium. With that, I'll turn it over to Elijio to provide some additional color and we'll open it up for questions.
Elijio Serrano: Thank you Brady. The results we reported yesterday are all within the range of our pre-announcement of January 29 and more specifically at the midpoint of our pre-announced results. With the announced sale of the GP and IDRs and the 11 million limited partner units of CSI Compressco also that we announced on January 29, the financial results of CSI Compressco will be reported as follows. The 2020 and prior years income statement will reflect CSI Compressco as discontinued operations. Revenue income before taxes adjusted EBITDA will be TETRA-only without CSI Compressco. All our historical results in CSI Compressco will be reflected as discontinued operations. Given that we were still the general partner of CSI Compressco at the end of the year, the balance sheet at the end of 2020 and prior yields -- prior years will reflect all of CSI Compressco assets as assets held-for-sale and all the liabilities of CSI Compressco will be recorded as liabilities held-for-sale. This will allow everyone to look at TETRA's balance sheet and quickly exclude the impact of CSI Compressco by excluding assets and liabilities for those items held-for-sale. The cash flow statement for 2020 and prior years will include the impact of CSI Compressco in each of the various line items. In the press release we issued yesterday, we continue to show TETRA-only free cash flow excluding the impact of CSI Compressco. And as previously mentioned this is because TETRA was still the general partner of CSI Compressco at the end of 2020. When we report first quarter 2021 results and the future quarters, the income statement will be TETRA-only and CSI Compressco results in prior periods will continue to be reported as discontinued operations. The balance sheet will completely exclude CSI Compressco given that we will not be the general partner as at the end of March 31, 2021. The cash flow statement for the first quarter of 2021 will include the days in January that we were still the general partner of CSI Compressco. And noting that we continue to own 5.2 million common units of CSI Compressco our future results will include a mark-to-market valuation adjustment for the units we own. The price that the CSI Compressco units were trading at when we sold the general partnership was $1.25. Any increase or decrease from that unit price will be reflected as income or loss in the other income or loss item of the income statement. So far this quarter, given the CCLP unit price has increased materially, the gain to date of the $5.2 million that we own at CSI Compressco is $4 million, reflecting a unit price of $2.03 as of the close of market yesterday. We will evaluate TETRA's decision on how long and at what price we might monetize this $10.6 million asset. In the fourth quarter, we incurred $3.4 million of nonrecurring charges, of which $2.1 million were cash related. During the year and into the fourth quarter we remain very focused on optimizing our cost structure. We implemented a series of temporary and permanent cost reduction actions by reducing salaries across the Board, suspending 401(k) match and implementing a furlough program. We also implemented several significant permanent cost reductions that we intend to keep into a recovery. This included streamlining the management structure by eliminating several executives and senior management positions; shutting down locations that were not earning returns of capital acceptable to us such as our El Dorado facility; entering into long-term supply agreements to lock in multiyear favorable pricing, especially in our chemicals business; and as Brady mentioned aggressively implementing technologies at reduced staff costs at the well site and automating and digitizing our wellsite operations including remote monitoring. As a result of these actions, we reduced company-wide cash costs as they impact EBITDA from $497 million to $329 million or by 34% when revenue declined 33% year-over-year. Our adjusted EBITDA margins actually improved in the down year by 150 basis points. Decremental margins were only 8.4%. In other words for every $1 decline in revenue, we reduce cash cost by $0.916. This demonstrates how flexible of a cost model we have that allow us to rapidly scale back our cost structure in a down year. With respect to SG&A cost, year-on-year we reduced company-wide SG&A cost adjusted for unusual items by $26 million or 28% relative to the 32% decline in revenue. Our fourth quarter corporate G&A costs were $5.9 million, down 45% from the fourth quarter of last year and compares to the fourth quarter revenue being down 44% from a year ago. On an annualized basis, fourth quarter corporate G&A was reduced by almost $20 million compared to a year ago. Corporate G&A in the fourth quarter was 7.9% of revenue. To generate liquidity, we aggressively managed our working capital, sold underperforming assets and minimized capital expenditures. As a result, we generated $59 million of TETRA-only free cash flow and of this $33 million was from working capital. Also we sold underutilized or noncore assets such that the proceeds from the sale of assets were $2 million more than all the capital expenditures that we made in 2020. This included the previously announced sale to Spartan Energy Partners of $14.2 million of compressors that TETRA previously owned. 2020 total year free cash flow without the benefit of monetizing working capital was $26 million. In addition to having a flexible cost model, we have demonstrated that we can keep monetizing assets as necessary, aggressively manage working capital and keep capital expenditures at a minimum such that in a difficult year we can generate positive free cash flow even without the benefit of working capital. As a result of positive EBITDA monetization of working capital and selling underperforming and noncore assets, we reduced total debt from $189 million at the end of 2019 to $133 million at the end of 2020. And following receipt of the proceeds from the sale of CSI Compressco, we have further reduced net debt to $120 million. Our term loan has been reduced from $220 million to $202 million at the end of the year, and we expect to further pay down the term loan with cash on hand before the end of the first quarter, further reducing our interest expense. We believe that the business model will be successful and we'll be a company that has a diverse revenue stream, can introduce technologies to be a differentiator in good and bad cycles, can flex its cost structure down very rapidly during flexible times, can leverage its infrastructure and support cost in an up cycle and can generate free cash flow in all cycles, even without the benefit of monetizing working capital. We believe we have that business model and have demonstrated in a difficult year that we can do all of those. And on top of that, we have demonstrated the ability to generate cash from our ESG initiatives and are in the early stages of this growth opportunity. And with the deconsolidation of CSI Compressco, we believe we have a simpler better understood model for the investment community. The recent movement in the share price following our communication on January 4, in addition to the announcement of the completion of this transaction on top of the preannouncement of January 29, certainly indicates that. Since the end of 2020 and since our communications to the public markets of our fourth quarter results and strategic moves in addition to highlighting our opportunities in the clean energy market, our equity value has increased by $220 million from $110 million to $330 million. We further believe that the increase in equity value that we have seen since the beginning of the year positions us to be included in the Russell 2000 in June. That would create a significant amount of activity in our trading volumes as the passive index funds that mimic the Russell 2000 begin buying shares in TETRA. We will remain focused on streamlining the organization and generating free cash flow to further reduce outstanding debt. I encourage you to read our press release that we issued yesterday for all the supporting details and additional financial and operational metrics. Additionally, TETRA will file the 10-K in the coming days with the SEC. With that, we'll open it up for questions Kate.
Operator: [Operator Instructions] Our first question is from Stephen Gengaro from Stifel.
Stephen Gengaro: Thanks. Thank you, good morning, gentlemen.
Brady M. Murphy: Good morning.
Stephen Gengaro: So a few questions, the first being, as we think about the progression into the first quarter, what are the moving pieces that we should be kind of contemplating in the two segments? After -- I know there's probably a little seasonality in some of the areas, but how do we think about the progression into the first quarter?
Brady M. Murphy: So I'll take it from the different segments Stephen. From our chemicals business, it's seeing strong activity. Weather has supported us in terms of -- I should say the extreme weather has supported us in terms of the seasonality portion of that business. But even our industrial business is picking up and looking very strong. And then as you know as we head into Q2, we have our seasonal peak in Europe. So that piece looks very good. Clearly, we had some very good momentum in January on our water and flowback in North America before the freeze. We -- like everyone else, we were impacted by a dramatic reduction in activity, frac and completion activity for a week or so. We're still trying to assess that, but we are seeing a pretty significant bounce back in terms of customers calling us back out to work and resuming activity. So difficult to quantify all those pieces yet, but we expect going into the second quarter -- certainly into March and into the second quarter North America activity continuing to rebound. International, as you saw was down a little bit for us in the fourth quarter, pretty consistent with the international activity that's been declining. We think that's going to stabilize and bottom in the first half of the year. And then all indications that we are getting will be a pretty strong recovery in the second half of the year and certainly into 2022 from the international and deepwater side of the business which obviously supports our completion fluids activity. 
Stephen Gengaro: Great. Thank you. And then when we think about next year and I -- without -- I know it's hard to pinpoint the entire year but I think you did a little under $50 million in TETRA-only EBITDA in 2020 and we were thinking in terms of something like $60 million in 2021. And I was just curious on 2 things. Like one does that seem reasonable? And two under that scenario what would free cash flow look like? 
Elijio Serrano: So Stephen given how much uncertainty in the market there is we aren't giving total year guidance. But I think a couple of items that Brady mentioned. I think that $60 oil and if it holds is clearly opening up, the deepwater and accelerating some of the offshore projects that have not materialized when the oil prices were averaging $40. We think that there's good opportunities for those to materialize in the second half of the year and have a good impact. We also believe that our industrial business will continue to perform well in the market create opportunities. And we also believe that the frac crew counts that have rebounded and recent activity that we're seeing from our customers to keep adding to those frac crew counts will create meaningful upside. We expect capital expenditures to be slightly higher in 2021 than in 2020. We expect interest expense to be lower as we keep paying down the debt. So I think that there's an opportunity here that our free cash flow will again be very strong in 2021. 
Stephen Gengaro: All right. And then just one final -- and I missed this because I joined a little late. But I think Brady mentioned a couple of Neptune jobs on the prepared remarks that -- but I don't know if you were talking about bidding on them or where that stands for 2021?
Brady M. Murphy: Yes. So my comments Stephen was that when price of oil dropped so materially last year and stayed I think on average $36 from March through last year, a lot of the deepwater projects and in particular the projects we've been working with customers on Neptune were pushed have been pushed out. We are in discussions with those customers now about the retiming and replanning of some of those projects. And my comment was that, I'm fairly optimistic that we will execute a job or two of Neptune this year under the current discussions we're having. 
Stephen Gengaro: Okay, great. Thank you.
Operator: Our next question is from Samantha Hoh from Evercore ISI. Go ahead.
Samantha Hoh: Hey guys. Thanks for taking my question. Maybe just to stay on the CS Neptune topic. Just kind of curious for those projects that you're in discussions for, are they for the Gulf of Mexico, or are we starting to see some of those international projects come to fruition? 
A – BradyM. Murphy: Yes. Our pipeline Samantha for Neptune is really split between the Gulf of Mexico and primarily the North Sea. There are a couple of other geographies that we're in discussions with. But when you look at the really the pipeline what we call pipeline of discussions and activities, it's more or less split between Gulf and North Sea with a couple of one-offs outside of the North Sea international. 
Samantha Hoh: So that sounds like potentially you could get a North Sea project in like the latter half of the year? 
A – Brady M. Murphy: We feel optimistic about that. But clearly there's some ground that has to be covered for that. 
Samantha Hoh: Okay. Great. The other question that I wanted to spend some time on is just the growth CapEx that you're putting into the water segment. Really impressive, how you guys have just taken such a strong market share there. Can you maybe walk us through how the CapEx is going to be spent over the quarter -- the year? Is it going to be pretty evenly spent throughout the year where you have like a steady state of equipment being introduced? Curious how that expansion into Argentina works from a logistics standpoint? Like I mean if you're going all that way it seems like you're probably going to be at a much larger scale there. And then just overall, I'm kind of curious how the equipment held up just during that extreme cold weather that you guys saw down in Texas?
Elijio Serrano: Good question Samantha. So let me make the first stab at it. With respect to capital expenditures, we've increased the bar in terms of what Brady and I will approve. If it doesn't have a direct customer behind it and if it doesn't have a quick payback cash-on-cash payback, we're not approving those items. The SandStorm has done incredibly well. And we've been generating paybacks that are difficult to say no to and they are all with super majors that have very well-defined drilling programs. Fourth quarter did incredibly well. We've ordered more units and those are coming and being delivered, primarily in the first half of the year again all focused on specific customers. And then it's interesting that as the economy has rebounded and the price of oil is better we're starting to get even this week demand for more TETRA Steel to keep adding given the sensitivity that many of our customers have around ESG and spillage. So we're also taking opportunities to deploy more TETRA Steel into the market. I would suggest that, most of the CapEx might be front-end loaded, but they're dedicated all to customers and projects with quick payback on those. Then with respect to the impact of the weather, it appears that the frac crew count went from over 100 to almost zero in the Permian Basin so – let me back up. Total US frac crew count is over 100 of which a big part of it is in the Permian Basin and it dropped almost to zero with the weather last week. And we're seeing a rebound almost to the pre-last week levels immediately. So we think that's going to be a very short-term week type – one-week type impact on our water management and flowback business.
Samantha Hoh: And no damages to the equipment or anything that needs to be addressed or like weatherizing for future years or whatnot?
Elijio Serrano: No, no damage to equipment. And we don't think that that changes our approach in terms of how we react to those type of cold weather conditions.
Samantha Hoh: Okay. And if I can just sneak one more in. I'm curious, in terms of all the discussions that you're having with other parties in your low-carbon initiatives. Do those conversations potentially include some sort of fee or – so similar to what you have with Standard Lithium where you would get some sort of payment just for that exclusivity with the customers even or with the partners even before you start actually producing?
Brady M. Murphy: Yeah. I think Samantha we will probably take a different approach with the energy storage folks that we're in discussions with as well as the carbon capture company. I think instead of royalty type arrangements that we've done with Standard Lithium, we're bringing some technology to the table ourselves and I think potentially we could see more partnerships more – even potentially JV-type arrangements down the road, if things progress as we envision it. If not they represent large potential markets for us to supply products into. And so that's beneficial to us, but we think we bring some additional things to the table and the types of discussions we have could be a little bit more meaningful than just a product – part of the supply chain a products provider.
Samantha Hoh: That's really exciting guys. Congrats on the quarter and good luck with everything.
A – Brady M. Murphy: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Murphy for closing remarks.
Brady M. Murphy: Okay. Well, thank you everyone. We really appreciate your interest in TETRA Technologies, and thank you for taking your time to join us this morning. This concludes our call.